Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today’s conference call to discuss LifeVantage’s First Quarter of 2022 Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. [Operator Instructions]  Hosting today’s conference will be Reed Anderson with ICR. As a reminder, today’s conference is being recorded. And now, I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation’s conference call to discuss results for the first quarter of fiscal 2022. On the call today from LifeVantage with prepared remarks are Steve Fife, Chief Executive Officer, Justin Rose, Chief Sales and Marketing Officer; and Carl Aure, Chief Financial Officer By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage’s website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company’s website, as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and, therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company’s management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage’s most recently filed Forms 10-K and 10-Q. Please note that during today’s call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage’s ongoing results of operations, particularly when comparing underlying operating results from period to period. We’ve included a reconciliation of these non-GAAP measures with today’s release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, November 04, 2021. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today’s release or call. Now, I will turn the call over to Steve Fife, the Chief Executive Officer of LifeVantage.
Steve Fife: Thanks, Reed and good afternoon, everyone. Thank you for joining us today. With me is Justin Rose, our Chief Sales and Marketing Officer and Carl Aure, our newly appointed Chief Financial Officer, who will join me with prepared remarks before we turn the call over for Q&A.  First quarter results were in line with our expectations and we made further progress on key initiatives around core products, engagement, and activation. Revenues of 53.2 million were down 2.9% year-over-year and on a sequential basis. We maintained high levels of profitability with adjusted EBITDA of 5.8 million or 10.9% of revenue. Moreover, adjusted earnings per share were $0.23 put in us firmly on track with the annual guidance we introduced coming out of the fourth quarter. We continue to believe that the steps we have been taking to re-accelerate growth through focusing on our core Protandim Nrf2 Synergizer, stronger alignment between corporate and our distributors, leveraging digital tools and new product innovation will start to drive increases in the number of total active accounts over the next several quarters. While the level of in-person activities is nowhere near what it was pre-COVID, which has continued to impact our results, trends are definitely moving in the right direction, which should bode well for our results, as we move into calendar 2022. Our recent global convention was a huge success with in-person attendance exceeding 1500 participants plus we estimate another 10,000 participated virtually from approximately 15 different countries. This was our first major event in over 18 months with large in person attendance, something we believe is critical to our focus on re-accelerating growth over the next year. Moreover, leading up to the convention, there were multiple smaller meetings where distributors, customers, and prospects, typically in groups of 50 to 150, gathered to learn more about LifeVantage products, as well as how to effectively develop and grow their businesses.  Consistent with our comments over the past few calls, our entire organization is highly energized and firmly aligned around our renewed focus on Protandim Nrf2 Synergizer as our core foundational product and key point of differentiation. Leveraging digital tools and technologies to drive growth by helping distributors be more efficient in targeting and servicing customers remains a key area of focus. Usage rates for our distributor app continue trending favorably, and we are seeing solid progress with our most productive cohorts who are using the tool to manage and grow their businesses, engage with prospects and team members, and easily access important information around corporate announcements and promotions.  We’ve also continued to expand our senior leadership team with the addition of Carl Aure, who joined us as Chief Financial Officer last week. Carl is a highly experienced proven leader with a strategic mindset factors that will be instrumental as we start to re-accelerate growth over the next year. Carl has deep financial expertise along with extensive experience in direct selling and international operations, providing the background and fit to lead all aspects of finance, accounting, tax and treasury at LifeVantage.  Over the past couple of quarters, you’ve heard us talk about a renewed focus around our core products, which are backed by over 30 independent research studies and are proven effective at mitigating the impact of oxidative stress on the body. We’ve also been expanding our efforts to partner with other established leaders in health and wellness and recently announced a five-year donation commitment to the Linus Pauling Institute at Oregon State University to support the institute’s mission of promoting optimal health through cutting edge nutrition research and trusted public outreach. This partnership offers the potential to collaborate with their Micronutrient Information Center, and leverage the power of third-party research, as well as engaging with researchers at the institute, allowing us to be uniquely positioned around the latest innovations in the area of nutrients, phytochemicals and human health. In conjunction with a donation, Dr. Brian Dixon, our Senior Vice President of Research and Development, will join the Director’s Circle at LPI, an advisory board that provides strategic advice to the Director of the Institute, and its Director of Development.  Now, let me turn the call over to Justin Rose, our Chief Sales and Marketing Officer to discuss our recent activities.
Justin Rose: Thank you, Steve and it’s a pleasure to speak with everyone today. We continue to focus on leveraging digital tools and technology to help our distributors drive growth and manage their businesses more efficiently. Let me start with comments on the proprietary LifeVantage app, which is designed to promote and reward key behaviors proven to drive engagement and has continued to gain traction with our distributors. The app was recently updated to support prospecting through popular social media channels, including Facebook, Instagram, and TikTok. The number of distributors who use the app daily has more than doubled in the last 12 months. And when a distributor shares a cart with a potential consumer through the app, an average of 27% of those potential consumers end up purchasing a product. And of these new consumers, 80% of the orders result in subscriptions, which is approximately 10% higher than our historical average. Our data analysis rebuilds that distributors who frequently put in the time and effort into their business and use the app regularly earn two to three times more in commissions and have two to three times more consumer enrollments than those distributors not using the app.  At our global conventions last month, we introduced an innovative product called IC Bright, a unique soft gels supplement with lutein, zeaxanthin, omega-3s, and other nutrients designed to support your eye and brain health. It provides essential nutrients for healthy eyes and vision that may be missing from a person’s normal diet. These nutrients support healthy retinas by storing macular pigment, which is important for filling filtering out the high energy blue light that frequently is associated with eye fatigue and dry eyes. A growing body of research is also finding that these nutrients can help support brain health too. One study found that taking supplements with lutein and zeaxanthin for six months reduce the feeling of eye fatigue and those with high levels of exposure to digital devices. And research has also shown that these nutrients supplements may also help people see more clearly in low light after being exposed to glare, so it can also help vision when driving at night.  For most of us work now involves daily almost nonstop interaction on our computer. And when we’re not on our computer, we’re scrolling through our phones or some other type of digital device. According to some estimates, adults spend about half of their waking hours looking at screens. Whether it’s in the sun or the glow of our digital devices, all the lights that we take in every day can lead people’s eyes feeling fatigued and strain during the day. Over time, too much exposure can wear them down. It’s easy to focus on heart health, muscle health, and even brain health but it’s easy to lose sight of eye health. Our eyes are how we focus and perceive the world. They’re the gateway to our memories. Eye health supports not just vision, but also brain and sleep patterns.  The pandemic has increased what has already been a high exposure to screens and excess blue light. We are excited about the solution IC Bright provides for our customers for this overexposure and the benefit it provides to their eye health. We believe that the demand for proper eye health and supplementation will continue to increase as the use of screens and digital devices also continue to rise.  As Steve mentioned earlier and consistent with our comments on the past few calls, we are firmly aligned around our renewed focus on Protandim Nrf2 Synergizer. As part of that effort and in conjunction with our new solution focused product categorization, we recently announced a series of new activation stacks. We define an activation stack as a bundle of products that are grouped together to provide a targeted solution to the end consumer. At the center of each stack is Protandim Nrf2 Synergizer because Protandim is the heart of an activated LifeVantage lifestyle. The goal of these new stacks is to take the guesswork out of which products a distributor would recommend to a customer or prospect.  The stack empowers the distributor ask the following question. If you could get a little extra support for your health in one or two areas, what would make the biggest difference in your life at this time? After listening to the answers, the distributor will make the recommendation based on their health needs and interests. Stacks are positioned to address a specific need or concern of the consumer, such as heart health, gut health, eye health, energy, immune support, focus, weight management, and more. We’re confident that this renewed focus on Protandim Nrf2 Synergizer, with the added value of solution minded stacks will both energize our distributor base and give them the added tools to provide a more customized and targeted solution to their consumers.  At our global convention, we announced a new consumer on-boarding retention program that we’re rolling out to all new customers and distributors. We are started in the US and will quickly move the program to additional markets. The focus of the program is long-term consumer retention by building relationships. We do this in three phases. First, we reinforce and validate the consumers’ decision to say yes to LifeVantage products. Second, we strive for the second month product order with incentives and reminders to the consumer on the benefits of subscription. And finally, we nurture a relationship with a new consumer with a welcoming experience right from the enrollment with LifeVantage. The primary touch points for the program are email, the physical package we ship to the consumer and over time, we will expand our consumer touch-points through text messaging, through SMS, Messenger, and other digital channels. The program was very well received by the distributors who attended our global convention and we are confident that it’s the right level of engagement and aligns our work better with distributor base, allowing them to focus on consumer acquisition, while we support them with a stronger presence on consumer retention.  Finally, the planned launch for the Philippines which we highlighted on the fourth quarter call has pre-launched earlier this week and is planned to officially launch by the end of November. We’ve continued to see great energy and excitement from not only our leadership in that region, but from leaders around the world that want to participate in this new market opening and we believe this is another important milestone on our path to re-accelerate growth.  Now let me turn the call over to Carl to run you through the first quarter financial results.
Carl Aure: Thank you, Justin. Before I go over the financials in more detail, let me first say how excited I am to join LifeVantage. I’ve spent much of my career in the direct selling industry focused on health and wellness. LifeVantage is truly recognized for having one of the most unique products on the market and has an outstanding platform to support future significant growth.  Now, on to the first quarter results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliation in today’s press release for additional details. First quarter revenue was 53.2 million, down 2.9% on a year-over-year basis. Revenue in the Americas declined 5.8% compared to the prior year period to 36.4 million driven by a 9.4 decreased in total active accounts, partially offset by higher revenues per account stemming from new product launches and LTOs. Revenue in our Asia Pacific and Europe region was 16.8 million, representing an increase of 3.9% compared to the prior year period, and reflecting an 8.9% increase in total active accounts. We experienced strong double-digit growth in Australia, New Zealand as well as greater China, while revenues in Japan decreased 5.6% in each case as compared to the prior year period. Japan revenues were negatively impacted by 4.5% during the quarter due to foreign currency exchange rate fluctuations and on a constant currency basis, revenues in Japan decreased by 1.1%. Revenues in Japan continue to be negatively impacted by restrictions around in-person meetings due to the pandemic.  Gross margin was 82.3% in the first quarter compared to 82.9% as compared to the prior year period. The 60 basis point decrease in gross margin was due to increased inventory obsolescence expenses, higher costs for shipping, and shifts in geographic and product sales mix. Commissions and incentive expenses, as a percentage of revenue, decreased by 150 basis points year-over-year to 45.3%, reflecting changes in the timing and magnitude of promotional activities. Adjusted as SG&A expenses increased 0.6 million year-over-year to 15.3 million. As a percentage of revenue, the adjusted SG&A expense ratio was 28.8% or 200 basis points higher than a year earlier due to increases in marketing, travel, and event expenses, reflecting investments in future growth.  Adjusted operating income was 4.4 million or 8.2% of revenue compared with 5.1 million, or 9.3% of revenue from the prior year period. Adjusted net income was 3.1 million or $0.23 per fully diluted share compared to 3.6 million or $0.25 per fully diluted share for the prior year period. The company’s effective tax rate was 25.2% in the first quarter of fiscal 2022 compared to 26.8% in the prior year period. For fiscal year 2022, we expect our effective tax rate will be approximately 26%. Adjusted EBITDA for the first quarter was 5.8 million, a decrease of 0.9 million from the prior year period. Adjusted EBITDA margin was 10.9% in the first quarter of fiscal 2022 compared to 12.3% in the same period a year ago. Please note that all of the adjustments from GAAP to non-GAAP I discussed today are reconciled in our earnings press release issued this afternoon.  We ended the first quarter in a strong financial position with 19.9 million of cash and no debt, and we continue to maintain 5 million as availability under our revolving line of credit. We used 3.5 million in cash during the first quarter to repurchase approximately 460,000 common shares under our share repurchase authorization. As of September 30, 2021, there remains 8 million available under the authorization. We expect to continue to be active with our share repurchase efforts in the future. Capital expenditures totaled 0.4 million in the first quarter, and we anticipate total capital expenditures for fiscal 2022 to be approximately 2.5 million.  Turning to our fiscal 2022 outlook, we continue to anticipate our fiscal 2022 revenue to be in the range of 225 million to 235 million and adjusted non-GAAP EBITDA in the range of 22 million to 24 million with adjusted non-GAAP earnings in the range of $0.83 to $0.87 per share. And with that, I’ll turn the call back over to Steve. 
Steve Fife: Thanks, Carl and Justin. In summary, we continue to make progress on key initiatives, and are encouraged by recent trends in activity and engagement with our top distributors. Consumers’ interest in health and wellness is as strong as ever and we have a broad portfolio of high quality, innovative products proven to help optimize health and improve performance at all stages of life. In addition, we offer an incredible opportunity for individuals to earn supplemental income through their business building efforts. Our corporate team and distributor leadership are aligned. Our financial condition is solid with a strong cash position and profitability, and we remain committed to driving value for all stakeholders. Lastly, I want to reiterate our enthusiasm for the upcoming launch in the Philippines, as the favorable dynamics in this market are creating tremendous excitement with our global leaders who want to participate in this new compelling opportunity.  Now, let me turn the call back to the operator to facilitate questions. Operator?
Operator: [Operator Instructions] The first question comes from Doug Lane with Lane Research. Please go ahead. 
Doug Lane: Yes, hi, good afternoon, everybody. I’m just trying to think through the remaining three quarters of the fiscal year here and trying to get a feel for what would impact any given quarter. And so first thing, obviously is Philippines this quarter, from a geographic expansion standpoint. Are there any other new geographies that you’re planning to enter this fiscal year?
Steve Fife: Doug, this is Steve. How you doing? 
Doug Lane: Hi, Steve.
Steve Fife: Yes, the Phil Philippine for sure has launched. We’re looking at one other country that might come in towards the very end of the year but I would doubt that it would have a material impact on our fiscal 22 results. 
Doug Lane: Okay, that’s helpful. And then I would move them into live events now that they’re back on the table here. You mentioned your global convention, are there any other sizable live events for the remainder of this fiscal year?
Justin Rose: Yeah, Hey, Doug, this is Justin. Our next big event will be in the US in February, we’ll be doing an Elite Academy, which we expected to do probably pretty similar to what we did in our global convention, maybe a little bit less since it’s North America specific. But each market also has individual events going on, as the world starts opening up a little bit. So we will see smaller gatherings in some of our international markets as well.
Doug Lane: Now, is the Elite Academy going to be 1500 people as well or is it less than that?
Justin Rose: We’re actually building it out because it will be a hybrid event, so we’re building it out to be about 2000 in person and then we’re hoping to get anywhere from 2000 to 3000 online as well. 
Doug Lane: Got it. And the – of the new stacks that you’re launching, is there any particular one that’s going to generate outsized excitement that I should think about and which quarter might that be if there is?
Steve Fife: Yeah, Doug, I’d say we launched a new product at convention called IC Bright and that stack -- we’ve created a stack around it, I think you’ll start to see momentum. We’re really excited about the reception that we’ve had with that product launch. And as Justin said, we’ve got a lot of fatigue -- eye fatigue, right now in society with everything that we’re doing online and so we expect that that stack will be a driver for us.
Doug Lane: Okay. So that’s already been rolled out. Okay, that makes sense. And then turning to the -- I mean, you have very high gross margins and even though they were down, they weren’t down that much. So in an inflationary world, your position as well as probably anybody, but can you give us a little update on what you think about pricing? Taking pricing, have you taken pricing -- what do you think about using pricing to offset some of these pressures?
Steve Fife: Yeah, we’ve talked a little bit internally about that. We were fortunate, I’d say, back at the very beginning of COVID to shore up our supply chain. We probably purchased, probably -- I mean, at the time, maybe even well, ahead of where we thought we should be, but we wanted to be conservative. So, we locked in prices on a lot of our major raw material 18 months, two years ago. And so we’re not feeling the squeeze from a raw standpoint, but obviously, like everyone else, the supply chain around the delivery logistics piece we’re getting hit with, and we’ll continue to monitor that to see if we have to do some price modifications but right now, we’re comfortable with where we are. 
Doug Lane: I mean, it’s been a while since we’ve been in this situation, but how much pricing flexibility do you think you have? What are the impediments to taking pricing increases here? 
Steve Fife: Well, our products, we think are competitively priced right now but if we feel a lot of pressure on our margins and you saw we were down about 500 basis points -- 50 basis points in our margins last quarter, if we continue to see that margin pressure, we’ll look at it but right now, we think we can manage it through just our cost management.
Doug Lane: Okay, fair enough [indiscernible] have high gross margins. So last thing I really want to talk about Steve and Justin is the distributor count in the US, which is down double-digits now for two quarters and just down for four quarters. So what kind of efforts are you making to stop the declines there and start growing the distributor account in the United States?
Justin Rose: Yeah, we have a couple things that we’re really focused on. We’ve really been focused on our promotional calendar with the consumer, with the end consumer, the customer, and you’re going to see a little bit more engagement with encouraging [ph] are filled to bring in distributors as well. So we’ve been working on -- focusing on distributor enrollments now for quite a while in the last, I guess, six to nine months and we feel like that is going to be key to getting things re-accelerated from a growth standpoint. So we will continue to put gas on that fire. 
Steve Fife: I’d say, I mean, we talked a little bit also just about how pivotal and important our global convention was. And, I mean, not just symbolically but the feeling of people finally getting back together, we did a number of we call them road to convention in person meetings. And, and those were really powerful, in that it just started to give people an opportunity that wanted to get out and to kind of reengage with their peers and the community at LifeVantage. And we are -- we do monthly -- we call them LifeVantage academies, so these are training, both an opportunity meeting for new prospects as well as training for existing distributors. And those are taking place in five different cities now, I think on a on a monthly basis. And then we’re also continuing with in-person meetings in a road to Croatia. Croatia is our next incentive trip, so we’re in a qualification period now that runs through June. And these meetings are distributor lead. Corporate is there to kind of support but it’s the distributors that are actually taking the reins and getting out and organizing and inviting and bringing in people within their teams or within the geographic locations. So it says distributors are starting to get back into activity.
Doug Lane: Well, that’s true. You haven’t had live events for over a year here, so the US event in February should definitely help. Right.
Steve Fife: That’s right. That’s right. And we’re a company that I think still builds around and benefits from those live events, especially from a distributor standpoint, our distributor.
Doug Lane: Yeah, makes sense. All right. That’s all for me. Thank you. 
Steve Fife: Thanks, Doug.
Operator: [Operator Instructions] This concludes our question and answer session. I would like to turn the conference back over to Steve Fife, for any closing remarks.
Steve Fife: Thank you, operator and thank you for joining us today. In closing, I’d like to take this opportunity to thank all of our employees for their hard work, and dedication and as well as our outstanding team of distributors and loyal customers. We remain confident in our business model and are focused on delivering the LifeVantage products our customers depend on. We look forward to updating you on our next call. Have a great day. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.